Operator: Thank you for joining us for this morning’s Navios Maritime Partners Q4 and Full Year 2013 Earnings Conference Call. With us today from Navios Maritime Partners’ Chairman and CEO, Ms. Angeliki Frangou; SVP of Business Development, Mr. George Achniotis; and Chief Financial Officer, Mr. Efstratios Desypris. The conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners’ website at www.navios-mlp.com, you will see the webcasting link. And now I would like to read the Safe Harbor Statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners’ management and are subject to risks and uncertainties which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Partners’ filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risk. Navios Partners does not assume any obligations to update the information contained in this conference call. I would now like to review the agenda for today’s call. First Ms. Frangou for opening remarks, next Mr. Desypris will provide an overview of Navios Partners’ fourth quarter and full year 2013 financial results, then Mr. Achniotis will give an operational update and an overview of market fundamental and finally Ms. Frangou will offer concluding remarks and will open the call to Q&A. I’d now like to turn the call over to Angeliki Frangou, Chairman and CEO of Navios Maritime Partners, Angeliki.
Angeliki Frangou: Thank you, Laura and good morning to all of you joining us on today’s call. I’m pleased with our results for this quarter in addition to strengthening our balance sheet through our recent capital market activities, I’m happy to announce that we achieved $35.6 million of EBITDA and $10.1 million of net income. We recently announced a quarterly distribution of 44 in a quarter cents. This represents an annual distribution of $1.77 in a time yield of about 9.5%. We believe that vessels will be Navios Partners yield and is about 55% higher from the Alerian MLP index. Navios is also committed to a minimum distribution of $1.77. We have previously announced that we’re committed to this minimum distribution through 2014. Today, we’re about advising that we’re extending this commitment through the year 2015. Moreover our drybulk shipping recover and the charter rate improve we will be positioned to increase distribution in the medium term. For almost five years our industry experienced one disappointment after another. From the global finance (in private) in 2008 through the concerns about European Union stability in 2010 and the European financial side through 2013, throughout this all one concern was interrupt global supply of vessels. As we said last quarter the drybulk environment has brightened significantly and now is positioned to take advantage of the [Indiscernible] was different this year. For the first several months of 2013 the BDI was on its historical low. What we did during the difficult times is what position us for success, as the industry now just started by being creative and engaging new process and thorough review of the market and it’s opportunities. We also processed in what control to reduce of low charter rates. We considered novel financing technique as our Term Loan B and new businesses that as a container segment. We renewed our fleet by opportunistically purchasing. Now as the cycle is turning, our hard work of the past year is evident and we’re positioned to reap the benefits of opportunities. As you can see on slide 2, Navios Holdings owns about 22%, 21.5% of the equity of Navios Partners and has helped Navios Partners to become a key player in the drybulk industry. Today Navios Partners has a market capitalization of about $1.4 billion and enterprise value of about $1.8 billion. This strategy has [indiscernible] Navios Partners continuous access to the capital market and provided the ability to grow its fleet and cash flow. In fact since Navios Partners went public in November of 2007, we have increased our fleet more than four times. Today we control 30 vessels representing over 3 million deadweight tons. The average charter duration of our fleet is about 3.5 years. Slide 3 shows the effect of the hard work during 2013. As indicated we made almost $600 million from the capital market including about $440 million in the Term Loan B market, we used this money to increase our fleet by almost 50%. Shareholders were rewarded nicely with a 48% increase in stock price during the year along with another 14% in distributions resulting in a total annual return of more than 60%. Slide 4 demonstrates our 2013 was a transformative year for our company. We remain disciplined in 2013 particularly in the first seven months of the year when the BDI arise about 866 and the [indiscernible] was very negative. We used the difficult environment in our drybulk fleet and purchased across four Japanese build that rate is up to 5. Today we could say, we present this [indiscernible] although we have no intention of doing so. In June, we had a bit of several months efforts initiated during the volume of the drybulk market where we invest in the Term Loan B market. We did this because we found Term Loan B to have heavier [indiscernible] along greater annual cash savings and more area of financing market when compared to the original bank financing. This also diversifies absorbs of that CapEx particularly at the time where the additional commercial bank will continue to de-lever it. We found that as we increase our time, we need to increase our charges and capabilities. Our goal is to have access to capital regardless of the economic mount scale. Following our further impairments of our creative growth, we also diversified our business and entered the container segment as a unique transition that mitigate with market risk as we acquire assets at appropriate value and generate cash flow. We acquired five container vessels in the long term employment contract with the investment grade counterparty for $275 million. Each vessel has a ten-year charters at $30,119 net per day. It allows Navios the option to terminate the charter after the seventh year that is the market influence. We will be able to terminate those charters at a more favorable glide. The company was also able to successfully take advantage of the drybulk choosing the right answers at the right time, we’ve begun our reach, allowed us to experience 20% of depreciation in the vessels [indiscernible]. Slide 5 shows our liquidity position as of December 31, 2013 we have a total cash balance of $70 million and total debt of $533 million. We have a loan net debt/capitalization of 37.4% and not admitting maturities in 2018. Slide 6 shows the multiple ways we have been able to grow our fleet and have distributions. Since our IPO in November 2007 we have grown distributions by 26.5% and our fleet capacity almost 400%. We have done so with sponsor through various dropdowns. We have also exercised purchase options that we had in our chartering vessels. More recently we have been active in sales and purchase market and we will continue to use this market to improve our fleet as opportunities arise. At this point, I would like to turn the call over to Mr. Efstratios Desypris, Navios Partners CFO, who will take you through the results of the fourth quarter of 2013. Efstratios?
Efstratios Desypris: Thank you, Angeliki, and good morning all. I will briefly review unaudited financial results for the fourth quarter and year ended December 31, 2013. The financial information is included in the press release and is summarized in the slide presentation on the company’s website. As Angeliki discussed earlier, during the year, we took measures to grow the company, solidify our balance sheet and expand cash flow generation. We have already committed to a minimum annual distribution of $1.77 per common unit for 2014. And as Angeliki announced we have extended this commitment to 2015. We will consider increase in distributions in the medium term as the market improves. Moving to the financial results as shown in slide 7, our revenue for the fourth quarter 2013 was about the same as last year and amounted to $52.1 million. Our revenue has been negatively affected by 2% decrease in the time charter equivalent rate that is in the quarter, decrease of $2,683 per day compared to $27,297 per day from the same quarter 2012. The decrease was mitigated by the increase in range of fleet by 16% for 2016. EBITDA in the fourth quarter of 2012 was positively affected by $22.5 million accounting adjustment from restructuring of current default insurance. Excluding this effect EBITDA for the fourth quarter of 2013 decreased by $3.2 million compared to the same quarter of last year mainly due to the increased expenses of our larger fleet. Net income for the quarter was $10.1 million, $7.6 million lower than the same period last year. Operating surplus for the fourth quarter of 2013 amounted to $26.1 million. Moving to the annual results, time charter revenue for 2013 decreased by $7.3 million to $198.2 million reflecting mainly the decrease in the average time charter rate achieved. EBITDA increased by $24.1 million to $153.4 million mainly due to the effect of the restructuring of our credit default insurance as we talked above. Net income for the year amounted to $59 million. Operating surplus for the year under December 31, 2013 was $125.5 million. Our fleet continues its excellent operational performance. Vessel utilization for 2013 was 99.6%. Turning to slide 8, I will briefly discuss some key balance sheet data as of December 31, 2013. Cash and cash equivalent including the restricted cash was $70 million. Long term debt including the current portion was $533.3 million. This reflects $233.7 million increase due to the issuance of the $459.5 million Term Loan B in October. The proceeds of the Term Loan B were used to finance the acquisition of the nine vessels acquired in 2013 and to partially refinance existing debt. These are the credit facilities, the deferred authorization for 2014 amounts to $6.4 million. Net debt to asset value on a charter-adjusted basis at the end of the quarter was 45.6%. As shown in Slide 9, we declared distribution for the fourth quarter of 44 and quarter cents per common unit. Our current annual distribution of $1.77 provides for an effective yield of 9.4% based on yesterday's closing price. The record date for the distribution is February 10 and the payment date is February 14, 2014. Total distributions for the quarter amounted $52.6 million. Our common unit covenants ratio for the quarter is 0.83 times. However, this ratio does not take into account the existing quarterly run rate of (5.3) to provide a more meaningful ratio going forward, we presented a pro forma coverage ratio of 1.07 times. This pro forma calculation gives effect to the full quarter a run rate operating surplus of the nine vessels operated in 2013 including the container vessels. Our consistent strong financial performance sales to coverage ratio and accretive acquisition enables us to secure our distributions and we remain committed to a minimum annualized distribution of $1.77 per common unit for 2014 and 2015. I would like to remind you that for U.S. tax purpose, a portion of our distribution is treated as a return of capital. Also we deployed the cumulative annual distributions to common unit holders on Form 1099. Slide 10, shows some additional developments during the year. As Angeliki mentioned earlier, we have concentrated our opportunities this year not only to grow the company and expand our capital ratio capacity, but what is important for Long Term B to control our costs. In October, we moved the fees under our management agreement with Navios Holdings until December 31, 2015. Based on the agreement, the new fees including estimated driver cost will increase by 3.6% for the full year period. This provides visibility to our cost base for the next two years at approximately 22% below the industry average. Furthermore, we acquired four drybulk Japanese-built vessels for $108 million. Based on recent pricing, we have enjoyed significant appreciation with the value of diversions, as of today, all vessel have been delivered to our fleet and have been sorted out for period ranging from approximately six months to three years to [indiscernible]. Slide 11, demonstrates our strong relationship with key participants in our industry. Our charters for another remaining combat duration of 3.4 years. Following the acquisition of the container vessels, we have a long term contracts, more than 92% of our contracted revenue is secured by charters earning longer than three years. Our charters have spread among the diverse group of counterparties. In addition we have insured the majority of our long term charter of our contracts of the drybulk vessels for Fed default with either a AA rated insurance company in the EU or our sponsors Navios Holdings. In slide 12, you can see the list of our fleet with the contracted base and the respective expirations dates per vessel. Our fleet consists of 30 vessels, 8 Capesizes, 14 Panamaxes and 3 Ultra-Handymax and 5 container vessels. We have a relatively young fleet with a combined average age of 6.7 years well below the respective industry averages. Currently we have this 74.7% of our available days for 2014 and 52.6% for 2015. We do not have charter rate exposure to the container sector as all vessels are fixed for an average period of 10 years. On the drybulk vessels we feel that we have positioned the company well to take advantage of the market recovery. The expiration dates are staggered and the charter duration is extended to 2022 related. I'll now pass the call to George Achniotis, our Executive Vice President of Business Development to discuss the industry section. George?
George Achniotis: Thank you, Efstratios and good morning all. Please turn to Slide 13, world GDP continues to be driven by developing economies which now contribute a higher percentage of total world growth than the developed economies representing over half of the global consumption of most commodities. The IMF recently has projected world growth for 2014 to 3.7%. Developing economies are projected to grow at 5.1%. Chinese economic growth is projected at 7.5%. Another significant GDP movement is the shift of Europe from a negative 0.7% in 2015 to a positive 1% projected for 2014. This is an almost 2% movement within a short period on economy the size of the U.S. Turning to Slide 14, the primary engines of trade growth continue to be China and other emerging economies. Drybulk trade has expanded by an average of 5.5% a year in the last 12 years since China joined the WTO. Preliminary data indicated that expanded at 6.6% between 2012 and 2013 which was the highest increase in the last decade. Annual changes in world drybulk trade tends to correlate with growth in world GDP, accordingly consensus focus for 2014 and for global drybulk trade to continue to grow at approximately 5% and slightly lower growth rate is estimated for net fleet growth leading to improve supply-demand dynamics. Moving to Slide 15, iron ore from the major mining companies outside of China continues to be the lowest cost highest quality source of this commodity. With iron ore prices forecasted to decline to the $100 per ton range, Chinese domestic production which is represented by the red boxes in the lower red graph will become an economic. We currently plan expansions of global iron ore mines will add significantly to the seaborne bulk commodity movements in 2014 with further significant growth in the following years. While the majority of these expansions are in Australia over 35% will come from the Atlantic Basin adding ton miles. Moving to Slide 16, the continued development in urbanization of China will contribute significantly to steel consumption in 2014 and beyond. Infrastructure, housing, construction, and consumer spending growth underpin future development. Note that Chinese peaks asset investments have continued to grow at over 20% year-on-year through 2013. Crude steel production in China in 2013 was above 9% more than 2012, in order to support this growth China imported 820 million tons of iron ore, 10% more than 2012. Going forward, the substitution of low quality domestic iron ore with imported is expected to grow and will increase the ton guides and ton miles. Please turn to Slide 17, over the past few years there has been a significant change in coal trade. China turned from being a net exporter of coal in 2009 to being the world’s largest importer today. As the chart indicate both China and India seaborne coal imports have grown at least 21% CAGR since 2009. With the increase in steel production and with a number of brand new coal firepower generators, coal imports in both countries are focused to grow over the next several years. Turning to Slide 18, China grain imports are expected to double from 2012 to 2022 as the capita income rises leading to food diet and increase for poultry and meat. As noted in the bottom of slide 18, it takes above 8 tons of grain to produce one ton of beef. Grain shipment in small iron ore and coal account for a large personal vessel demand is measured in vessel days is grains an inefficient CAGR to more than this discharge. Moving to Slide 19, 2015 new building deliveries and products [indiscernible] represents the lowest annual total since 2009 and is down by almost 40% from 2012’s record. 2013 numbers increased to 39% bringing net fleet growth down to 106%. Net fleet additions this year is expected to be lower than last year. And net steel growth is expected to be lower than demand growth resulting in an improved rate environment. The order book is declined dramatically this year and beyond. Turning to slide 20, low freight rates for most of 2013, expansive fuels and high ship scrap prices led to continued high scrapping levels is 22 million deadweight tons with scrapping in 2013. The current rate environment to the encourage scrapping of older vessels over 11% of the previous 20 years old providing about 81 million liquid tons of scrapping production. The demolition prices appear to depend on overall steel prices and not on the supply of vessels, they are expected to remain high, will continue to see the scrapping of older and less efficient vessels. Of note is that the average age of a fleet stock declining in August at 9.3 years. This is an indication that new building delivers have slowed as we predicted earlier in the year. Moving to the next slide, slide 21 provides a retrospective of the rate environment and considers the impact of supply demand equilibrium on rate recovery for 2014. As we all know for any rate recovery to be meaningful and lasting, fleet growth rates need to fall below trade growth rates. As mentioned earlier, the demand for drybulk cargo is expected to increase in 2014 by about 5%, a rate higher than the expected net fleet growth for the year. However, the rate of change suggests that the demand for drybulk vessels will increase in 2014 and beyond as new building deliveries continue to decelerate and scrapping remains at the elevated levels. We note this as these conditions were not evident over the past few years. Please turn to slide 22, the BDI rules above 2000 during December but yearly high for Supramax and Panamax coincided with their [indiscernible]. 2015 phase, as indicated the total seaborne drybulk sales grows by over 6%, lead by growth in iron ore, coal and grain. The volume represents steel growth of approximately 250 million tons surplus the yearly increases experience during the 2003 to 2008 period. The first few weeks of 2014 have grown above the ratios and calculated abilities in a number of commodities and regions. These are items from the competition of weather related factors in Brazil and West Australia and governmental decrease in Colombia and Indonesia. Most of these disruptions are from the temporizations expect for Indonesia export restrictions which may continue to affect manual [indiscernible]. CAP rate experienced shortest fall from a combination of the above disruptions and normal seasonality. Yet the current average is almost three times in 2013.The slow intent in fleet growth along with significant additional iron ore export capacity in both Brazil and Australia to support the earnings especially in the Capesize sector. For the Panama and Supramax sectors should receive support over the medium to long-term by Chinese coal and grain imports. The support earnings from both is expected to be a large grain imports. A further slowdown in deliveries combined with gradual recovery in the world economy should bode well with improving fundamentals in 2014 and beyond. This concludes my presentation. I would now like to turn the call over to Angeliki for the final comments. Angeliki?
Angeliki Frangou: Thank you, George. We will open the call to questions.
Operator: Thank you. (Operator instructions) Our first question is from the line of Michael Webber with Wells Fargo Securities.
Michael Webber – Wells Fargo Securities, LLC: Hey, good morning guys. How are you?
Angeliki Frangou: Good morning.
Michael Webber – Wells Fargo Securities, LLC: Hey handful of questions for Angeliki. You wanted to start with dividend distribution growth actually. You guys secured the distribution towards the back capital last year and your yield has come in and then now obviously the question is how do you start to grow that distribution. I know it's very early and then you just secured it. But when you look at 2014 and kind of what's in your agenda, I am sure kind of building out a visible growth ramp is probably high on that list. Within that context, can you talk about the different asset classes you are looking at right now and what that eventual growth might look like, is it going to be primarily drybulk or containers and then kind of where you seeing the most value right now?
Angeliki Frangou: It is a multiple questions but let’s start from the distribution. I think the number one is that Navios Partners got well cut last year, we secured our distributions and we kind of gave full visibility until 2015 on the minimum distribution. And one of the things we managed by getting this assets with 7 to 10 years charters is in having about two-third of our fleet with this long charter. We also have the ability as we saw the drybulk is recovering, we have about nine vessels, we haven’t talked about fleet in an environment that is very strong. I mean this year seasonal low is 2012’s high. So you can see that we have these nine vessels that have great opportunity of re-chartering of what’s going in an rising environment. Let’s understand that we are in a very early stage of recovery. If you come to 20 years, average is that we are looking in the high teens of the Handymaxes and Panamaxes markets and in the low 30s, they gave charge. So we are long way to a recovery market. Within this will give us a great potential for increased cash flows and increase in our distributions. So our position was to secure the minimum distribution with this long term charter, good capital structure and have nine of our vessels in the drybulk in the recovering market. Now on opportunities, I think clearly containers have to provide opportunities. This is a sector where a lot of the players are not able to transact and we will find a way that we can capitalize on this. This is something we started early on and we are able to, I think to capitalize right now. Of course, drybulk steel is a consideration and we will always look on this but where we see more weakness is in the container sector where a lot of the big players cannot play anymore.
Michael Webber – Wells Fargo Securities, LLC: Got you. And that’s helpful. Around that theme of containers and I want to ask you in a second about the reserves and you’re going to back that reserves to get to this real cash this quarter and I want to talk about how that could reverse and when and how that could reverse in 2014 and whether it would be the next quarter. But just in terms of residual value risk and how you are reserving, as your asset base continues to change and you bring on more container ships and part of the reason why some of those container ships are available because then there is a residual value risk on them and in the long-term contracts mitigate 10 year term, I am just curious how you think about reserving for your changing asset base over the next couple of years. Should that start to interrupt up as you add more container ships to either residual value risk on those assets and the replacement cost to be higher down the drybulk side and then how should we think about it?
Angeliki Frangou: We look on every assets plus and the sales and reserve. One of the things you will see that we are very careful, cyclical business provide opportunities and in essence one of the things we did in an obvious partnerships is we already have started the renewal project of the company. If you have seen we have about six drybulk vessels, in the asset of our fleet, we only need to replace three eventually. I mean being the older vessels which we will look upon the opportune time. We did this at the most attractive part of the cycle where actually our reserve provisions more than complicated then we have done it very effectively. On the case of the container vessel, I mean, the way we started the transaction is that we buy asset that if you combine the gas flows and the residual value without taking the re-chartering of the opportunities of the vessels into consideration we go to almost scrap values. So we are extremely careful of how we structure our system. We believe that we will actually do much better, we are on short term traders of assets but we do this is at cyclical of how we replace our assets. 
Michael Webber – Wells Fargo Securities, LLC: Okay that’s helpful. And then just one more on the cash distribution, you got backed out of the 6.5 million looks this quarter to get to the 32.5 million figure. As you get a full quarter of this container ships in your fleet, should we see that number reverse in the first quarter?
Angeliki Frangou: Yes. I think that initially that you actually realized we didn’t get this vessels in – for the full quarter so in the full quarter we have already in Page 9 in the presentation how the pro forma –
Michael Webber – Wells Fargo Securities, LLC: No, I see it.
Angeliki Frangou: Yes. This 107 so times. So you can realize, yes I mean, we have got these vessels during the quarter so that’s why you have this negative effect.
Michael Webber – Wells Fargo Securities, LLC: Right. And that negative effect should reverse itself this quarter basically in Q1?
Angeliki Frangou: Yes. Yes, yes.
Michael Webber – Wells Fargo Securities, LLC:  Okay. Great. All right, thank you guys, I appreciate.
Angeliki Frangou: Thank you.
Operator: Thank you. Our next question is from the line of Justin Yagerman with Deutsche Bank.
Justin B. Yagerman – Deutsche Bank: Hey guys. Good morning or good afternoon. I wanted to ask you few questions on how you are thinking about growth and a few other things. You know one of the things that we are seeing in the market right now is at least on the drybulk side, you have got a market that seems to be moving from backward Asian into contango on at least the pay per site and I am curious if along the questions that Mike was asking in terms of upping the distribution coverage. If you think about chartering in assets in this type of an environment, where you can maybe arbitrage the shorter term charters and the longer term charters that are out there in the marketplace right now, what are your thoughts on that in terms of adding some short term coverage on cash flow and is that an opportunity that you take advantage how the couple chartered in ships but there are more special seats with purchase options, would you have an operating piece of the business?
Angeliki Frangou: This is a more appropriate – in obvious partners we have long term charter in vessels which will really capture this upside. We are not going – we don’t have a short term platform because I think if you see this is in essence levered, I think this is a strategy that we do it more appropriately than Navios Holdings case, don’t forget that when you charter in this as I said this is leverage so it is a like double leveraging. One of the ways we – because we do believe in this market and this is something we articulated that’s why you saw we stick very much on vessel in the water, I mean now there is partners acquire four vessels last year, brand new building the Navios Joy, the Navios La Paix, which we now fixed it. We got it delivered. It is a brand new – although Handymax that was delivered in 2008, what we did there, we are very bullish in the market so we did index class 10% and a flow of 10,000. So we are some believers so what we do is that we have nine vessels drybulk that are opening this year. We have not fixed any of these vessels on periods. We believe this is a market that you will have an upside because simply the world is coming. I mean however we are going to hear that the developed world is doubling in growth from 1.3% last year. The developed world will be growing at 2.3%. so you are really seeing a quite significant growth there. So we are bullish and we will remain very much open into the market in order to get the upside. We are not going to get operating vessels on this.
Justin B. Yagerman – Deutsche Bank: Okay, that’s kind of perfect segway into my next question which is you do have these nine vessels that you have held off on chartering an advance, right now we are in seasonal low point in the market but after Chinese New Year, I think general expectations would be the things start to recover. How do you think about chartering and duration at this point? I mean your market estimates are clearly bullish looking out to 15 and 16, do you stay short and have less cash flow coverage as you looked out because you think you are going to have a rising market or are you guys going to look to locking vessels for two or three years when you do your next round of chartering? 
Angeliki Frangou: At this point we do not look on long term charters. The reason we like that we are, this is long duration in the container vessels in our fleet is because in two sides of our fleet we provide full visibility of low. From what – the way we ran our business we can say that that’s why we gave visibility on our distribution that clearly you can cover all distributions and as market recovery we can see opportunities of giving that back to our shareholders that’s why we will keep it short. Of course, Navios has strategy which we are not shy to do to go on to the five year duration but where we did it last time and where we find that it is the most appropriate time is when margins are much higher and this we see somewhere around the ten year averages on – as we done in the past. It is where we use our fleet out for five and ten years is when there is around the ten year averages. When you have the Panamax and Handymax at mid 20s and higher and the Capesize is in the mid 40s. So this is areas of mid 30s to mid 40s on the Capesize is side and on the Panamax and Handymax is when they approach the ten year averages. So in this kind of part of the cycle, we see, we run it as a portfolio. We see good opportunities on providing back to our shareholders and with that as market recovery increasing distributions. 
Justin B. Yagerman – Deutsche Bank: It’s great, helpful. Thanks. Last question I will turn over to someone else. You have got a handful of vessels for about four in the fleet that are built between the mid 90s and 2000, when you think about second hand vessels prices firming in the market right now, how do you think about those vessels as they approach 15 and 20 years special surveys? Is that a use of capital, source of capital for you guys to refresh the fleet or you are happy running those older assets into an improving market? What's the thought process on how long those assets stay in the fleet?
Angeliki Frangou: We have three vessels that are we see a little bit on the older side. I mean the reality is that the assets is very good quality. So as market recovers, I mean we can easily pass out surveys with we have already allocated whatever we need. But as practice, we will recover, we understand that assets values already will be moving quite uncertainly. So this is a fully amortized asset and you will be able to sell and create use the process on something more creative. So our strategy is we have both the vessels on the critical low and we will resell the older vessels as well as we now recover. 
Justin B. Yagerman – Deutsche Bank: Thanks much for your time. I appreciate it Angeliki.
Angeliki Frangou: Thank you.
Operator: Thank you. Our next question comes from the line of Christian Wetherbee with Citi.
Unidentified Analyst: Good morning this is Stiffen for Chris. If I could just follow up with a question on your acquisition strategy in the context of your increased dividend commitment and your comments looking at the container ship market for a source of assets, how do you think about your mix of financing for potential growth going forward? Do you think it's – are you able to take down the container assets without raising equity? Can you level up a bit more what's your max leverage and what are your core investment opportunities potentially let you take more manageable by out of the assets rather than trying to take down a similar deal like the HSH deal where six vessels were taken down?
Angeliki Frangou: I think net debt [indiscernible] along in the market. We like we have high distribution model and we are very careful about that. So we will continue on a strategy using Term Loan B and bank financing and I think this is appropriate because as you do larger transactions you really need to have diversified sources. We are comfortable on our net bet to capitalization so we feel comfortable on our leverage ratios. So I don’t see any, in the sources we will use both sources and of course equity. This is not – we are not going to do any transaction on it, I mean in the Navios Partners. What we are doing is really acquiring vessels from the open market. 
Unidentified Analyst: Okay. Do you have a maximum leverage target you are comfortable sharing?
Angeliki Frangou: Where are now is we are very comfortable.
Unidentified Analyst: Okay. And then, lastly I will just follow up, it seems like slippage on order book was fairly robust this year. I am just worried if you have any updated thoughts on how much was canceled versus how much was postponed?
Angeliki Frangou: Listen, for five years, we are repeating the same thing. Nobody will tell you it was canceled. Our views are and we have done it thorough analysis of the order book, you know that minimum 30% next year will now be delivered. As we will be going further into the years, finally at one point, that we will get rid of these orders but do you know that net fleet growth basis assumptions we have about 75 million of new of an order book for next year for 2014. About 30% were not delivered and we are running about 40% on deliver level so you just think most you know, with the better environment, sale is at 30% best case scenario. So you are looking at about 52 million debt rate for 2014. You should also consider that we are sitting at about 80 million of overhead fleet, so I will say minimum about 20 million should be stopped. So you have a net fleet growth estimate of around 4 to 4.5 which is very good considering that the new tend of drybulk growth is about [indiscernible] research terms everyone is talking about 4.5 to 5 which is the usual estimate but if you see how it's going versus the growth from last year, we will estimate that there will be around 6.5 demand growth. So you will have a tightening, further tightening of the market. 
Unidentified Analyst: Okay. Thank you. I will turn it over. 
Operator: Thank you. Our next question is from the line of Ken Hoexter with Bank of America.
Unidentified Analyst: Great. Hello this is actually Shawn Collin on Ken Hoexter and team. good afternoon. I just want to ask about given your container ship acquisition and expansion, and I appreciate slide 27 but I wanted to ask if you could comment on your outlook on the container ship order book and what you are seeing there and how you think that’s going to play out over the next several years?
Angeliki Frangou: have to remind you that for the next several years, we Navios Partner has zero exposure into the container market but of course what I will say as general comment which is nothing to do with the exposure is that I think that the trend of scrapping will continue because this is one segment of the economy where of the shipping where the you see clearly more weakness. So scrapping will continue even more I will say the segment is amazing but you haven’t seen more scrapping. So this is something that will be accelerating these years. And our German banks now allow vessels to be – because one of these – you have the ownerships and banks that they were not willing to take loss and this is now happening and people will – you will see more vessels going to scrap. And second is that in the order book, I think definitely you will see I think you will see a non-deliveries in about 30% non-deliveries. So at one point with the recovery of the developed world, you should see this coming to equilibrium but definitely you will have more scrapping in 2014 that will be the way forward.
Unidentified Analyst: Okay. Great. Thank you very much. Just the second question, I know you did the Term Loan B financing last this quarter and can you just compare and contrast your experience doing the Term Loan B versus traditional bank finance and how that was possibly more advantageous where the covenants worked or not as --?
Angeliki Frangou: By the way, the term loan B we did back in June in last quarter, we did and now done and this is where we liked it because when you do lot of transactions during, I mean, 275 million transactions where you need to do a quick financing of this gives you the ability really to step in a market and very quickly get the financing vessels you know cash flow generation is not even the 20 years average, so you still have an early stage of recovery and in opinion the best way to recalculate is to be in the market in the, generating cash flows today.
Unidentified Analyst: Right. I mean so I guess it’s your belief that the best deals haven’t already been tasked and still plenty of opportunity in secondhand market?
Angeliki Frangou: We have done, yes we did a lot of transactions last year and we did even a new buildings that variety for the delivery, so all we have seen that there is opportunity in the open market, we are a company that have done new deals in the past, we have done several, today’s market and I think are started and 2013 was good to approach vessels ready in the water.
Unidentified Analyst:  Got it. Okay. Great. Thanks so much, thank you for answering everything.
Operator: Thank you. Our next question is from the line of Ben Nolan with Stifel.
Ben Nolan – Stifel Nicolaus: Hey good morning guys or good afternoon. I just had a couple of last few questions, is hoping that maybe you could remind me of sort of a where you feel like the coverage ratio need to be in order to be comfortable actually increasing the distribution, have you guys, so you have a target of what were you feel like above that threshold you can move the number a little bit?
Angeliki Frangou: When you go above 1.1 you can always see easily a distribution and I think if you see that then number of vessels and the upside potential of a drive back, I think in the medium term we can see that achievement quite easily.
Ben Nolan – Stifel Nicolaus: Okay, that’s helpful. And then the next question sort of relates to that and as well as the potential for acquisitions and that sort of thing, is there a minimum threshold level that do you would want the parents both the limited and general partnership units to maintain you want to make sure that the Navios Holdings is to have less than say 20% equity in a business or is that just as long as you have the 2% general partnership, the limited partners is big of a concern?
Angeliki Frangou: We like to give the 20% stake into Navios Partners, it has been very, I mean we have may rewarded that, this is something which we to provide nice returns to us.
Ben Nolan – Stifel Nicolaus: Okay, perfect. And then last question in relation to something you were mentioning earlier about how seeing lot of opportunities in the container shipping segment and relative to the dry segment, I guess my question is, are there opportunities out there similar to what was done on the container where you can buy an asset already fixed on a long term time charter within the drive back market, it does generate the similar types of rate return or are they really the only opportunities generally just buying vessels without contracts or very short term contracts which lesser financial transaction more just an asset play?
Angeliki Frangou: Yes, the difference within container is a given part of the cycle in the drive back you have come to the five years of crisis in today, it will not make sense someone to fix five and ten years actually will be penalizing here returns, I mean this area I like I mean as market recovers we will fix five and ten years, we can fix it that way, the Panamax is a 10 year average is 26-27, so 26 so you can really do it at a later point, it won't make sense today, you are not the really buying an asset that will be interesting this part of the cycle for the drive back, so the most probable thing to do is buy today and then really create value as the market recovers since the closure term.
Ben Nolan – Stifel Nicolaus: Okay, well I guess sort of saying is that maybe thinking as a potentially distress sellers and drybulk traders something where they are willing to charter it back four or five years at a some rate of return even if it is above market that that hits your threshold but also provides liquidity for them I mean that’s part of what you see in a container shipping space but I guess there is, it doesn’t play out quite as well on the drive outside that we are seeing.
Angeliki Frangou: Yes, and it’s totally different market. The container market you have 3-4 the major liners can provide that, it’s a different kind of a situation. I don’t think you need, if you are talking about a triumph on selling the vessel and time chartering back you don’t have the same entities that will be doing that.
Ben Nolan – Stifel Nicolaus: Okay, that’s helpful. Thanks.
Operator: Thank you, our final question is from the line of Matthew Phillips with Clarkson. Matthew, your line is open. 
Angeliki Frangou: And I think with this we complete our Q4 results for Navios Partners.